Operator: Statements made by management during this call with respect to forecasts, estimates or other expectations regarding future events or which provide any information other than historical facts may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and include known and unknown risks, uncertainties and other factors, many of which the company is unable to predict or control, that may cause the company's actual future results or performance to materially differ from any future results of performance expressed or implied by those statements. These risks and uncertainties include the risk factors disclosed by the company from time to time in its filling with the SEC, including in the company's annual report on Form 10-K filed with the SEC on March 16, 2021. Furthermore, as we start this call, please also refer to the statement regarding forward-looking statements incorporated in the company's press release issued this morning, and please note that the contents of the company's conference call this morning is covered by those statements. During this conference call, management will make references to EBITDA, which is a non-GAAP financial measure. A reconciliation of the non-GAAP measure to the applicable GAAP measure can be found in the company's current earnings release, a copy of which is located on the company's website www.dawson3d.com. The call is scheduled for 30 minutes and the company will not provide any guidance. I would like to turn the call over to Stephen Jumper, Chairman, President and CEO of Dawson Geophysical Company. Please go ahead, sir.
Stephen Jumper: Well, thank you, Aunia. Good morning, and welcome to Dawson Geophysical Company's First Quarter 2021 Earnings and Operations Call. As Aunia said, my name is Steve Jumper, Chairman, President, and CEO of the company. Joining me on the call is Jim Brata, Executive Vice President and Chief Financial Officer. Before we start the call, just a few things to cover. If you'd like to listen to a replay of today's call, it will be available via webcast by going to the Investor Relations section of the company's website at www.dawson3d.com. Information reported on this call speaks only of today, Thursday, May 13, 2021, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay listening. Turning to our preliminary first quarter ended March 31, 2021 financial results. For the first quarter ended March 31, 2021, the company reported revenues of $11.7 million, a decrease of approximately 70% compared to $39 million for the quarter ended March 31, 2020. For the first quarter of '21, the company reported a net loss of $5.2 million or $0.22 loss per share of common stock compared to net income of $1 million or $0.04 per share of common stock for the quarter ended March 31, 2020. The company reported negative EBITDA of $1.9 million for the quarter ended March 31, 2021, compared to EBITDA of $5.8 million for the quarter ended March 31, 2020. During the first quarter of '21, the company-operated one seismic data acquisition crew in the United States with limited utilization in one crew in Canada. The near-term outlook for seismic data acquisition activity in the U.S. remains challenged with historically low levels of crew and bid activity. Based on currently available information, the company anticipates limited crew activity in the second quarter with up to one crew operating in the U.S. with periods of low utilization in the back half of 2021. Currently, the company does not have a crew deployed in the U.S. and the Canadian season concluded at the end of the first quarter. I will now turn control of the call over to Jim Brata, who will review the financial results, then I will return for some final remarks and our outlook into the second quarter of 2021. Jim?
James Brata: Thank you, Steve, and good morning. Revenues for the first quarter of 2021 were $11.7 million, a decrease of 70% compared to $39 million for the quarter ended March 31, 2020. As stated in our earnings release issued this morning, during the first quarter of 2021, the company operated one seismic data acquisition crew in the U.S. with limited utilization and one crew in Canada. Based on currently available information, the company anticipates limited crew activity in the second quarter, with up to one crew operating in the U.S. with periods of low utilization in the back half of 2021. Cost of services in the first quarter of 2021 were $10.9 million, a decrease of 62% compared to $29 million in the same quarter of 2020. General and administrative expenses were $2.8 million in the first quarter of 2021, a decrease of 24% compared to $3.7 million in the first quarter of 2020. Depreciation and amortization expense in the first quarter of 2021 was $3.4 million, a decrease of 30% compared to $4.9 million in the same quarter of 2020. Net loss of the first quarter of 2021 was $5.2 million or $0.22 loss per common share compared to net income of $1 million or $0.04 per common share in the first quarter of 2020. EBITDA in the first quarter of 2021 was a negative $1.9 million compared to EBITDA of $5.8 million in the same period of 2020. An EBITDA reconciliation was provided in our earnings release issued this morning. And now I'll highlight some balance sheet items. Our balance sheet continues to remain strong. As of March 31, 2021, we had debt, including obligations under financing leases of approximately $587,000. We had cash and short-term investments of $47 million. Our current ratio was 10.1:1, and working capital was approximately $49.7 million. And with that, I'll turn the call back to Steve for some comments on our operations.
Stephen Jumper: Well, thank you, Jim. As we all know, since the onset of the COVID-19 pandemic over a year ago, the seismic data acquisition market, not just in the U.S. but worldwide, along with other oilfield services remain challenged in the - particularly in the U.S. and Canada. While there are encouraging signs of recovery in certain oilfield services, such as drilling and completion services, current demand for seismic related services remains at very low levels. In recent months, we have - oil prices have improved to over $60 per barrel range as oil demand has increased with states beginning to further open businesses, air travel increasing and the rollout of the COVID-19 vaccines. The U.S. rig count, currently at 448, is steadily improving as is the number of hydraulic fracturing crews. Based on currently available information, as we've stated, we anticipate seismic data acquisition activity in the lower 48 to reach a low in the second quarter and ended the third quarter of 2021, with slight improvement anticipated later in 2021. As we have stated in prior earnings releases, demand for seismic data acquisition in recent cycles lags behind the recovery in drilling and completion activity as exploration and production companies initially deployed capital into set services and work through their inventory of drillable projects. The same is true on the front side of a downturn as drilling and completion services are scaled back, while currently active seismic-related projects continue as seen in 2020, where our activity levels remained relatively high through the second quarter and into the third quarter after the onset of the COVID-19 pandemic. The timing of a return to an increase in demand for seismic services in 2021 is further delayed due to the depth of the most recent downturn, slow recovery of capital budget increases as oil prices remained depressed into '21, a larger-than-typical post-downturn inventory of drilling prospects and a slower recovery of rig count to work through the inventory backlog. During the latter part of 2018 and continuing into the first half of 2020, we successfully acquired multiple high-density large channel count projects in certain areas of the Permian Basin. These fully processed data sets first became available to the industry in late '19 and continue coming to the industry in 2021. Early results of these data sets indicate substantially improved subsurface image quality compared to prior seismic data sets, examples of which are just beginning to become public. The increases in data quality and imagery are currently being utilized for improved well planning, geo-steering of long lateral well bores, geo-hazard identifications and avoidance, enhanced reservoir definition and rock property description between well data samples and strategic placement of disposal well locations. As the industry begins to recognize and appreciate the value of these high-density, large channel count surveys, we believe demand for such surveys will improve. The company's state-of-the-art equipment base allows us to deploy multiple large channel crews when demand does improve. And our continuing response to these difficult times we have significantly limited capital budget spending, reduce fixed and variable operating expenses, implemented a comprehensive equipment program in preparation for a rapid response to increased activity levels. In addition, we continue our commitment to our robust health, safety and environmental program, ongoing relationships, product quality and key personnel. The company made no capital expenditures during the first quarter of '21. As stated in our December 31, 2020 earnings release, the company's Board of Directors has approved an initial budget - capital budget of $1 million for 2020 - 2021, excuse me. The company's balance sheet, as Jim stated, remained strong with $47 million of cash, restricted cash and short-term investments, and $49.4 - $49.7 million of working capital as of March 31, 2021. The company is nearly debt-free with notes payable and finance leases of $587,000 as of March 31, 2021. In conclusion, while today's conditions in the seismic data acquisition market remains challenged and are likely to remain so in the coming months, we are encouraged by the overall improvement in both the economy and the oilfield service sector. Improvement in drilling and completion activities helped set the stage for a successful recovery in the seismic data acquisition sector. I think our hard-working employees, valued customers, and trusted shareholders as we work our way through these difficult conditions toward better times ahead. And with that, Aunia well, I believe we are ready to take questions.
Operator: [Operator Instructions]. So we start with our first question from Bruce Berger, Turnaround Capital.
Bruce Berger: I have two questions. Maybe you can explain to us why with so much rich seismic data already in place and in the hands of the oil companies, why they want to reshoot for images, again? And the second question is how much surface area has not been shot in the United States with this new seismic imaging that you spoke about in the press release that has - that you think may want to be reshot?
Stephen Jumper: Those are great questions. Let me address those the best I can, Bruce. I'm going to jump to the second one first. We - ever since the industry has moved towards 3D data acquisition techniques, we have continued to answer these questions for the last nearly 30 years about how much has been shot today and how much is left to be acquired. And the answer is, there continues to be a large pieces of acreage and land all through the country that is prospective that has not had in many cases, a first round of 3D exploration, but even more so has not had some of the newer techniques applied to it. So over the last 30 years, we've seen channel counts on a crew move from 2,000 to 4,000 to 10,000 to 20,000. And now we're talking crew sizes of up to 50,000, which does 2 things, it enhances aerial coverage capacity as well as density at the same time. And so we believe that over time, and historically, there are many basins that are prospective across the lower 48 into Canada that either need first round or potentially second round. Over that time frame, we have gone back into multiple areas several times and acquired new data sets with newer techniques, many of which we've talked about here. And so every time we've done that in the past, as a general rule, we have seen image quality and detail improve. In the past, we have also talked about in our conference calls over the years about concentration of activity. And we have - if you go back 10 years ago, the activity level was more robust in other basins around the lower 48, we began to see a contraction back into the Permian specifically several years ago and Southern Midland Basin, then we moved into the Delaware. And now some of our focus tends to be more in the Northern Midland Basin and in the Central Basin platform. And so really, we have - in the last 3 years, we have acquired some very large surveys through the multi-client model that have been very intense with this new shooting geometry and techniques. And those data sets have taken some time. One of the issues our industry deals with is lag time on delivery of data process - of process data. It's something that is being worked on and continues to improve, but it takes a while for these data sets to reach the market. And so we're just starting to see some of those data sets reach to market, which happened to coincide with where the most recent concentration of activity and rig count and improvement occur. And so it is very difficult environment right now, but we're seeing improvement and movement in - of activity. Talk of movement of activity to the northern part of the Midland Basin, of the Central Basin platform. We've done quite a bit of work over the years in the Delaware Basin, for example, and it's a prime candidate for imagery improvement. And so what - to answer your question, we believe there's running room all across the lower 48 that's dependent upon E&P activity. And I think it is fair to say right now that we have - in the near-term, we have some very active areas that have this new data set. We're not seeing the rig count coming back as quick as we typically have in a downturn. And so I think we're dealing with, in my opinion, a timing issue here as opposed to a value of the product issues.
Bruce Berger: Great. So you're thinking that well, of course, we're seeing completions increase much more than the actual amount of drilling rigs. So what do you think is a good correlation will, as drilling rig activity increases? What's the time lag between that increase and the demand for shooting, do you think?
Stephen Jumper: Well, it is very difficult for me to put a timeline on these things, Bruce. And I don't want to get out ahead of myself. But I think there's a couple of things there that are important that we need to talk about here, and we've kind of alluded to in the press release. The first is, I'm not sure anybody really knows what the drilled uncompleted number really is. What - how many actual DUCs are out there that have been drilled and just sitting on completion. So in today's world, it is not uncommon for completion activity to move at a little bit more rapid pace than drilling activity. So the second thing is, while we're seeing some recovery in rig count, and I would add that there's certainly continues to be pressure on all oilfield services, not just us, but all oilfield services are under pressure these days. But we're seeing a slower ramp-up in rig count coming out of a down cycle than we've seen in the past. And that is further complicating issues for us. And so I don't see that changing in the near-term, honestly, to a great degree. I think we're seeing the E&P companies and Q1 results are coming out with pretty strong free cash flow numbers. We're seeing more and more companies issuing onetime special dividends. There's a focus on shareholder return that's out there. And so I would anticipate that to move through for the next few quarters. The indicators that we would look for would be continued improvement in rig count, movement into new basins. For example, it's encouraging that we're seeing some activity in the Central Basin platform along the shelf edge in the Central Basin platform. We're - we'll continue to see some movement, I think, back into the Delaware Basin. And I think we're starting to see people talk about some things down in the Eagle Ford. So I think there's a variety of things that we'll continue to look for and communicate with our shareholders as they materialize. But I don't think there's any one specific thing that I can point to and say, that's the thing we've got to watch because I think it's a combination. We've really haven't seen a whole lot of adjustment in capital budgets on behalf of the E&Ps. We'll see what happens when we get to midyear and later. We're not seeing a dramatic increase in rig count. We've seen improvement, but I'm encouraged. I think we'll see some of those begin to materialize in the back half of the year.
Bruce Berger: Well, it's interesting your comments about DUCs because I often liken it to a retail or manufacturer. You go through your inventory, and eventually, you have to replenish it, right? So they don't have to drill, but they're basically running through their inventories. So it's just - I guess what you're saying, it's not a question of if, but when for your services?
Stephen Jumper: Well, that's what I believe. That's been what history has shown. It's difficult to describe the depth of this last downturn that we've been through. It hasn't been just a supply issue. It hadn't been just a demand issue. It's been a complete shutdown. So when you think about the downturn that we went through in 2020, for us, in the back half of the year that's bled into '21. But for other oilfield service companies, it really began in late Q1 of '20. We went from a greatly reduced activity to almost 0. I mean, groups that were running multiple rigs in the teens went to 0. And so we've basically went through a full year or 9 months at least, of really very, very limited activity happening anywhere. On top of that, we've had quite a bit of M&A activity on the E&P side, which has taking up resources to complete those transactions. So it's been a very difficult unique situation that we've not experienced before, all it meant. But history has said, and I think we'll continue to say that seismic data continues to bring value particularly if you're looking to optimize the drilling and completion results, and I think we're seeing that. I'm highly, highly confident that our E&P customer base for the most part, are using seismic data to achieve those objectives. And I don't think that will change. And I think, in fact, it could improve over time as our technology gets better, we get more information and better integration to well data.
Bruce Berger: Great. Just one other question. Could you just explain why you enacted the poison pill for one year?
Stephen Jumper: Well, a couple of things there, Bruce. And I appreciate the question. I would preface this by saying Dawson Geophysical has had a shareholders' Rights Plan in the past. We had one in 2000 and - excuse me, 1999. That was a 10-year plan that we renewed in 2009, and it went away with the merger with TGC. So a shareholders' Rights Plan is something that we have had in the past. We'd contemplated the plan for quite some time going back to early part of last year. We began to see some improvement in the stock price through late '20 and into early '21. And then we've seen clearly a little bit of a reversal in that. And so we revisited the shareholders' Rights Plan concept and believe that with the advice of professional services providers that we went with a pretty basic plan, a pretty standard plan with pretty standard terms and conditions in there just to protect all of our shareholders. And it's something we'll revisit over time. But that's the - that's really the impetus for us putting that plan into place.
Operator: And we go with our next question from Scott Bundy Moors & Cabot.
Scott Bundy: Steve, in your 30 years in this very cyclical industry. Where do you put this cycle versus prior cycles?
Stephen Jumper: Boy, it's by far the deepest. I came into this industry, and I didn't know it, but I came in at a down cycle. But I don't - in the past, we've dealt with an oversupply issue related to OPEC movement or we've related - we've had a demand issue related to economic conditions. This was a multi-headed Monster, so to speak. There were several things that came into play on this one. Not only did we have a supply issue with supply levels, not just in the U.S. but worldwide, we had COVID-related complete demand destruction that at the end of the day, probably wasn't as deep as anticipated, but it was very, very deep. In conjunction with that, we've had an overhang for the last several years of just overall energy investor apathy, so to speak, with a demand for returns, particularly at the E&P side, that appears to be correcting sales with recent results. The supply issue clearly is going - it looks like it's going to correct itself. I don't know when U.S. supply will get back to pre-pandemic levels. But at the current rig count, it's not going to happen real soon. And obviously, demand is beginning to pick up for oil. And we can talk about political things around that as well and the social aspects as well. But if I had to rate them, I would put it this way, one, and I would put the early 80s somewhere around maybe third place, and there's not a second. But this for our industry and with all the things that came together, in particular, and it hasn't been just unique to our company, it is all across the industry and worldwide. Now it is encouraging that we're starting to see signs of improvement in the international markets with regard to seismic data activity. I think we're starting to see improvements in the marine world, offshore world. And so those are always positive signs as well. So we're seeing some things that are pointing the right direction, but man, we're coming out of a deep hole there, Scott.
Scott Bundy: Steve, from your point of view, we all know OPEC will - capacity will eventually get absorbed. But the lack of investment that has gone on. Have you witnessed this severe lack of investment in the past, maybe going back to the '80s?
Stephen Jumper: You're talking about in the U.S. or worldwide?
Scott Bundy: Well, U.S. in particular, but maybe even worldwide. I'm really just trying to get your sense of - there ultimately appears to me to be a cost associated with this significant lack of investment and with the focus on free cash flow, in your view, does that ultimately bite assuming a world that gets back to normal?
Stephen Jumper: Well, I appreciate the question, Scott. I'm by no mean a broad energy expert. I'm just a seismic guy. But ideal - our company and our shareholder and our employees obviously work very closely with what our E&P customers are doing, and we follow them very, very closely. I think there's been a - particularly on the international side, I think, in Marine, I think there's been a serious underinvestment over time, particularly in the last 10 or 15 years. I think in the lower 48, I think - and we've said this for some time, I think there - this is just my opinion. I think we're headed for improved investment that will be done more prudently with better science and technology maybe around it. And I think there'll be more prudent investment going forward. There's been, obviously, a lot of capital been put towards the energy sector in the last 5 to 10 years. But I think when you look going forward, I would anticipate increased but more prudent investment. So I do think there is an investment hole worldwide that not just in E&P, but in services and even in midstream that - I think there's a day coming that those investments will have to be increased. And it's our hope that they'll be done prudently. And if they're done prudently with utilizing good technology and science, that should be good for the seismic sector, not just us but worldwide.
Operator: And we have one last question from John Potratz from Researched Investments.
John Potratz: First of all, I look noticed your revenues actually for the quarter were up compared to the last quarter. I think you've done very well there. I've noticed that what you have to do here is deal with the fact that the downsize of the - of your staff, but then still be able to come and be able to respond as your clients come back in and ask for work. How has that been going? My sense is that you really have a sense and feeling for your people and make them - adjust to the changes that when business recovers, you'll still have a good crew available. How is that going for you?
Stephen Jumper: Great question, Jay. And I appreciate it. That's been a very difficult thing, not just for us the company, but I think through the seismic sector as a whole. And in general, oilfield services. I think we've done - we've had a tremendous number of cutbacks in the last year plus. We've worked really diligently at reducing our cost structure. At the same time, I think we're doing the best we possibly can maintain the right resources in terms of personnel, equipment, and capital to react accordingly. We - the recovery, in my opinion, is not going to be like in the past years, where you're going to have to get to 8, 9, 10 crews to do well. If we can get to 2 large channel count crews, for example, as we did in the first half of 2020, we can do pretty well and much improved. And so the crew count bar is not as high as it once was. Now with those crews, they carry significant channel count increase. And so - but we've worked really, really hard in the last couple of years. And understanding what a large crew looks like, how it operates and how to improve that efficiency. And so even in the last 6 or 9 months, we've been in an up and down phase, and we've been able - even with COVID in place and COVID protocols, our staff who's done a great job, have been able to respond quickly and efficiently, not just from an operational efficiency standpoint, but from a financial efficiency standpoint. And so - we watch that very, very closely. There's no question, we've lost some good people but I think we're trying to manage this thing, the best we can, understanding that we need to reduce cash burn, the best we can at the same time, be able to respond to our E&P customers' needs and on behalf of our shareholders. So I hope that answers your question. I would just like to take this opportunity to comment that I'm really proud of our group. They've responded very, very well for this whole situation. Attitudes are strong. They're good. They're positive. And so we're working hard to maintain that ability to respond in a lot of different areas in a lot of different ways, and I applaud our group for doing the work that they've done.
John Potratz: And that's important to recognize those people. And the other thing is, how are you getting a sense from your customers? Are they starting to reallocate money towards seismic? Are they talking with you? Do you get a sense of that they're wanting to sit down and talk with you about what they could do and how they could use your seismic crews to getting better data? Are they open to talking and sharing ideas?
Stephen Jumper: Well, that's a great question. And just let me answer it this way. One, the - there's multiple ways for us to judge the market those are contracts in hand, which we've outlined here based on what we say is going to happen in Q2, that's pretty lean right now. Two is bid activity, bid activity is pretty slow, as we mentioned in the press release. And - but there is some bid activity. And the third thing is industry conversation. And we're having conversations and there are certainly groups within E&P companies, particularly on the G&G, geology and geophysical side, that have concepts and ideas and thoughts of things that they would like to get done in '21 and into '22. And what you hear in those conversations is, we think we would like to have this. We think we would need it. We'll just see what the budget looks like over time in the back half of the year. And so specifically capital being allocated towards seismic data acquisition. I think E&Ps are very quiet about their capital budgets right now. I think in the past, we would be notified that XYZ was going to spend ABC in seismic data in the next coming year. We - for the last few years, we've not had that guidance, but I think the - right now, each project has to stand on its own from a budgetary and fiscal standpoint given the climate that we're in. And so - yes, we're going to have a very difficult second quarter, probably into the third. Bid activity is slightly improving maybe. There is some talk or bids that are out there. They're pretty lean at this point. But then we're starting to have some conversation and some chatter. And so that makes my crystal ball be as cloudy as it is. But that's kind of where we are, Jay.
John Potratz: So you are seeing some relative changes in positive nature, but really nothing that's going to convert into contracts in the immediate, but it's sort of - they're talking, at least, they're talking about what they want to do and looking at those budgets?
Stephen Jumper: Yes. I think that's right. I think - we'll learn a lot more in the back half, starting in the back half of '21, when we'll see how much budget adjustment there is and - at midyear. We'll see if there's - if we go to the back half of the year, looking at budget exhaustion or if we're going to be looking at budget improvement. And at this point, I just don't have a clear answer for you, but I remain optimistic for the long-term prospects.
John Potratz: Very good. Yes. At least they're talking about it doing something but haven't definitely made a concrete. Congratulations. Thank you for being out there, trying to get that business. Have a great quarter.
Operator: And we have two more questions. We go ahead with [indiscernible].
Unidentified Analyst: Steve, when you and I spoke last time, we had talked about the possibility of at least senior management, perhaps being offered a salary reductions and shares in place of salary. And my thought behind that was obviously to have management get greater ownership while reducing our cash burn. You don't have to make it mandatory, but I think that if you offered folks 25%, 50% of their salary they may - in stock, they may just like that. And then would probably bring us back to the first caller's question about the poison pill, perhaps obviating the need for that. But let me just stick to that issue of would you consider offering and even for yourself, taking a salary reduction and then taking shares because I would blood your interest as an owner to be lined up with mine?
Stephen Jumper: I understand the question. I will say this, that all across the board, there have been significant salary reductions in the company at various levels that have been done in the last year. And many of those certainly have been from the Section 16 officers have been filed. We - management ownership is something that we talk about. I will tell you this that we are aligned with our shareholders, and we understand what we're trying to get done. But I do hear your comments and appreciate them, and we'll certainly relay them to the right people at the Board level.
Unidentified Analyst: Let me ask you this, the part that I'm not understanding. And for me as a shareholder, I understand, to a degree, not as well as you do, the business cycle of oil and E&P and then even our - what we do. You understand it even deeper. So we've got share price that's roughly around our cash, and we're managing our cash burn probably as best we can. But what I don't get is why sitting in your position, the suggestion I just made doesn't get a, yes, great. I'd love to own more shares here. And I get normally restricted from buying stock. So if I could get a $50,000, $100,000 in shares right now, I'd be sitting in the catbird seat. So putting aside the - we'll consider it appreciated and the rest, I'm not following why this isn't something that you personally aren't jumping at saying that sounded great. I'd love to do that.
Stephen Jumper: Well, Steve, that's a little bit difficult question for me to answer here on this call. And so I do think the Board does consider management ownership positions. And I'll just tell you that we will continue to have those conversations.
Operator: And we go ahead with our next question from Michael Melby, Gate City Capital Management.
Michael Melby: I think we'd reiterate there would be - with the prior caller, it would be nice to see management and the Board take a bigger ownership stake in the company at these price levels and at this point in the cycle. But the question, I guess, stemming on Jay's question, specifically with the multi-client customers that you have, can you talk about what - how those conversations have gone? And what you think would need to happen for them to be more active in seismic acquisition going forward?
Stephen Jumper: Great question, Mike, and I appreciate your comment as well. And I appreciate all of our shareholders' comments and questions, by the way. That's what we're here for is to hear those questions and hear those comments and react accordingly. So I appreciate these calls, and I appreciate the one-on-one calls. The multi-client guys have ideas. And several of them have things they would like to do, but they're kind of dealing with the same thing we're dealing with, and that is how much funding they're getting from E&P companies. And at this point in the cycle, how much capital they're willing to put into a project. And so a multi-client project, and I am not in the multi-client business. So I'm not proclaiming to fully understand their model. But as I understand it, they will do a risk assessment on a project and make a determination of how much underwriting they need to start the project. And when times are difficult in spending your light, as they have been in the E&P world for the last 12 months or greater, certainly, in the last 6 months, as that spending is light, then their underwriting levels drop, and then they have to assess whether they want to, the timing of which they want to put capital into a project. And so when you're dealing with multi-client folks, and they're great customers of ours, and we've been very active with them for a long time and work closely with them. They're having to deal with both external funding and internal funding and getting that right mix to get a project to go. And so when we talk about the multi-client world and some of their conversations, there are projects that are out there that have been talked about, looked about. But then there's - maybe they're a signature or 2 away from getting that project going. So it's kind of a cascaded effect to a certain degree with the multi-client guys.
Operator: It appears there are no further questions at this time.
Stephen Jumper: Well, I would first like to thank everybody for joining in on the call. Obviously, we're in tough times here. I appreciate the great questions and the commentary that we had on this call. As we have mentioned in our press release, we anticipate Q2 to be very, very difficult. But we see things on the horizon and that are encouraging with rig count improving and free cash flow generation, the number of completion crews going back to work and some of the conversations we're having, particularly seeing seismic activity pickup in other parts of the world and in the marine world. So we are encouraged. We thank our shareholders for their continued trust. I really want to have a shout out to our employee base for the hard work and the difficult things that they've dealt with. And as always, thank and appreciate our wonderful client base. And we'll continue to work as hard as we can in these difficult times, and we'll continue to try to make the right decisions that we seem most prudent for our shareholders and our employees both. And well, again, thank you for your time, and we'll have another conversation after our Q2 report. Thank you very much.
Operator: And this concludes today's call. Thank you for your participation. You may now disconnect.